Operator: Greetings, and welcome to the Kulicke & Soffa Fourth Fiscal Quarter 2013 Results Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joseph Elgindy, Director of Investor Relations and Strategic Planning for Kulicke & Soffa. Thank you, Mr. Elgindy, you may begin. Joseph Elgindy
Joseph Elgindy: Thanks Rob, welcome everyone to Kulicke & Soffa fiscal 2013 fourth quarter and full year conference call, joining us on the call today are Bruno Guilmart, President and CEO and Jonathan Chou, Senior Vice President and CFO both are available for Q&A after the prepared comments. For those of you have not received a copy of today’s results the release is available in the Investor Relation Section of our website at kns.com. In addition to historical statements, today’s remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 our actual results of financial condition may differ materially from what is indicated as forward-looking statements. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial conditions, please refer to our SEC filings particularly the 10-K for the year-ended September 29, 2012 and our other recent SEC filings. I would now like to turn the call over to Mr. Bruno Guilmart. Please go ahead, Bruno.
Bruno Guilmart: Thank you, Joe. Thanks you all for joining our call today. Revenue in our fourth quarter fiscal of 2013 was a $173.6 million which represents a 23% increase over the $141.2 million in the third quarter of 2013, which was slightly below the guidance range of a $175 million to $185 million. For the most part, the quarter developed as expected, but was a lot more dynamic than we anticipated. The slight variance between actual revenue and outlook was primarily due to a higher number of both push-in and push-outs than usual. We believe this reflects more incentive in our customers, end-markets and not in any competitive losses Demand remained solid for ball bonders, especially for our copper solutions and also recovered to wedge bonders. We remain confident as we continue to build on our leadership position driven by our technological strengths, comprehensive equipment and expandable tool portfolios, we were able to ramp to meet the higher demand levels through the efficiency and flexibility of our manufacturing model, we held operating costs low and utilized selective temporary workforce additions when required, our collective expenses last for performance of semi-optimization in periods of both rapid expansion and contraction. We understand what needs to be done in order to meet the customer demand levels on short notice and are able to work with our supply chain partners to over a longer lead time and higher sourcing costs. As a result we delivered a gross margin of 46.5% for the quarter. We remain focused and understand that from the high level our performance will continue to be driven by our brand premium, highly efficient manufacturing models, and technology leadership in the marketplace. This is evidenced in our closeness to our customers understanding of their roadmaps and our ongoing efforts to consistently release new provisions to serve their needs. For example at the SEMICON Taiwan trade show in early September, we announced several new products including our new ProCu PLUS solutions, together with our ACS ProTM Capillary that are targeted to deliver improved wire bonding capabilities at the 28 nanometer node and below. As explained to our investors, materials, node shrink in addition to copper continues to be a major technology trend that have historically driven and continues to drive growth and replacement demand for our equipments. In terms of additional our copper capable bonder sales in the September quarter represented 80.2% of our total bonder sales down from 85.7% in the June quarter. Looking back at the longer trend September quarter copper shipments remained much higher than the historic average, on past three years; copper capable bonders represented 68% of our total bonders sold, more importantly this percentage a steady increase. Looking back on an annual basis fiscal 2010 through 2013 our copper capable shipments as a percentage of total bonders sold had grown steadily from 57% through 78% in line with our original expectations of the gold, copper transition. We currently estimate that approximately 39% of the total field capacity of ball bonders are currently copper capable and 75% of wire bonder devices will ultimately be eligible to bonders. We’ve recently adjusted this somewhat from our recent expectation of 70% of all wire bonder devices being eligible to one to copper, switching to LED over 5% of our bal bonders sold, we will contribute for the LED market which continues to present moderate growth opportunities, the growth in performance efforts of consumer devices are becoming more and more compelling which is driving LED as option. Turning to our wedge bonder equipment, the overall market dynamics remains soft although we have seen a rebound in demand during the September quarter with equipment and sales almost twice that of the June quarter. We have taken a number of actions including the launch of a power fusion line earlier in the fiscal year as well as costs and roadmap reengineering and expect to drive further improvements in fiscal 2014. Our R&D team is focused on exhibiting two plans on our advanced packaging tool development, over the next week we plan to ship our first alpha product to key strategic customer. We believe advanced packaging is a compelling growth of opportunity and we’ll keep everyone updated as we progress on this new exciting market opportunity. I will now turn the call over to Jonathan Chou, for more detail financial result of the September quarter. Jonathan?
Jonathan Chou: Thank you, Bruno. My remark today will only refer to GAAP results and will compare to the September quarter to the June quarter. Net revenue for the quarter was $173.6 million, up $32.4 million from the June quarter. Net income for the September quarter was $29.5 million. This represents a 56% increase over the $18.9 million of income reported in the June quarter. From our GAAP EPS perspective, we achieve $0.39 per share in September versus $0.25 per share in June. We generated $80.7 million of gross profit with strong gross margin at 46.5%. While sequentially gross margin was down slightly from 46.7% reported in June, this represents solid performance as product mix generally drive gross margin down in higher volume quarters such as this past September quarter. During September, we’ll continue to keep operating expenses low at $46 million, compared to $47 million in the prior quarter. Our tax provision came in at $5.2 million for the September quarter. Our effective tax rate for the fiscal 2013 was 11%. We continue to target a long-term effective tax rate of approximately 10%. We ended the quarter with the total cash and investment position of $525 million. This is equivalent of $6.86 of cash and $9.36 of book value per diluted share. With our strengthened debt free balance sheet and increasing cash position, we continue to pursue both organic and non-organic growth opportunities. Considering the 23% revenue increase from the June quarter, we manage our operations well with working capital up modestly by 10%. Working capital defined at the account receivable, plus inventory less account payable increased to $163.8 million. From a DSO perspective, our days sales outstanding decreased to 84 days, compared to 94 days in the prior quarter. Our days sales inventory decreased from 57 days to 37 days. Our accounts payable decreased from 55 day to 36 days. Due to the ramp in September quarter, we decide to delay our move in date of our Singapore build-to-suit manufacturing facility in corporate headquarters. We originally plan on moving in during the September quarter and delayed this slightly to the December. Despite this delay, we incurred expected capital expenditures that were related to the move or would be approximately $11.2 million of CapEx in the September quarter of approximately $5.8 million was associated with then move. We also have $6.4 million of move in related CapEx in the December quarter. For the subsequent March quarter, we expect CapEx to return to our normal run rate of approximately $2 million per quarter. This concludes the financial review portion of our call. I will now turn the discussion back over to Bruno, for the December quarter’s results.
Bruno Guilmart: Thank you, Jonathan. In terms of our guidance for December, we expect our business to follow the typical seasonal agreement patterns with revenue expected to be in the range of $70 million to $80 million, as customers generally install equipment capacity by September in anticipation of the demand driven by the coming holiday season. While we don’t follow guidance plus the current quarter, set by the market with assurance such as VLSI and Gardner expects semiconductor widening demand to improve to higher more normalized levels in calendar 2014 versus 2013. This concludes our prepared remarks. Operator, we will now be happy to take any questions.
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions) Thank you. Our first question is from the line of Krish Sankar with Bank of America. Please proceed with your question.
Krish Sankar - Bank of America Merrill Lynch: Hi, thanks for taking my questions. I have couple of them, one, Bruno are you seeing any memory customers come back and if so what percentage of those memory of the mix in September?
Bruno Guilmart: I don’t see, memory has never played, I would say a very significant role in our overall business. And I don’t think we have seen any particular – I would say surge compared to the previous quarter coming out of our memory customers. I don’t have, as you know we don’t disclose the percentage, but overall I think it was maybe in general units pretty stable.
Krish Sankar - Bank of America Merrill Lynch: Got it. And then the other question is in the past you guys have always very, very consistent with your capital allocation priorities being focused on organic and inorganic growth opportunities, compared like a dividend of buyback. Just want to find out is that still the way you guys are thinking about the business and any other change in the recent past?
Bruno Guilmart: There is no change in our strategy. That said many times the Company has not been for a very long time in that, I would say enviable position of having just resources. As you know we’ve made very large investments to get into advance packaging, broadly one of the largest, the Company as it made. Just to give you some sort of magnitude, we started this program about a year ago or so with a couple of engineers. Today we have close to 90 or 100 engineers and we have been able to develop very complex machine. I mean we are not talking about a $70,000 wire bonder machine. We have been able to develop our first auto machine, which will be shipped this month to very strategic customers throughout in about 12 months and so that’s as required obviously operating expenses as well as some I would say limited capital expenditure, as for as the overall market is concerned, I mean rafting obviously continuing to see consolidation in the front end, lately with the large merger of AMAT and TEL, we are actively looking at non-organic opportunities to basically augment our portfolio of product and services even accelerate and potentially increase our potential participation in the advanced packaging space. And we believe that we’re getting closer to a point where the back end market which use to very fragmented – now I mean you have about five suppliers in the front end, you have two in test, we still have lot of suppliers many niche ones and that can but we believe that the environment and the market especially in advanced technologies is getting I would say more favorable for pursuing more marketing growth opportunity and therefore the importance for us to keep the balance sheet flexibility that we have should we have to make a move quickly obviously not recklessly for the right company at the right price.
Krish Sankar - Bank of America Merrill Lynch: Got it, Thanks Bruno, Thanks.
Bruno Guilmart: Thanks for your question.
Operator: Thank you. Our next question is from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely - D.A. Davidson: Yeah, good morning. So first Jonathan hoping you could update us on what the current breakeven level is and based on your guidance we think cash – operating cash for might be next quarter?
Jonathan Chou: Okay Yeah, unfortunately we don’t really provide this year cash flow for the quarter but I can give a sense of the break even in the past, we’ve actually said that breakeven point is been at 95, but based on our cost containment programs which we actually run for last several years just give you a sense last fiscal year we understand by $11 million against our plan from a cost savings perspective, so we are able to basically go back to last year’s earning call, we got it 90 to 100 in the quarter going to the December quarter last year and there was a question about how flexible we can in terms of cost containment, so where we could probably bring it down closer to about a $90 million or so in terms of break even?
Tom Diffely - D.A. Davidson: Okay.
Jonathan Chou: So I give you sense of where we are at.
Tom Diffely - D.A. Davidson: Yeah okay and then Bruno when you look at the business today versus where you were year ago, I realize that the seasonal drop off at the percentage basis is the same the last year the guidance for business to be on this like 50% higher, what’s changed over the last year? What change with this environment versus where we were year ago?
Bruno Guilmart: Well I don’t think it’s a change over the last year I think it’s you are right at I would say a longer terms view backward as well as forward, as you know we are the undisputed leader in ball bonders, you can look at all the data publicly available and we’ve actually gained market shares, significant market shares in the last three years and we basically have sense to terminate the copper space. The initially we had participated some rental adoption of copper and I think what we would see in the first three year is this adoption rate was probably a lot faster and stronger than what we usually saw. Not that the trend is not going to continue but the trend is going to continue unlike as slower pace. Just to give you I mean a couple of I would say maybe more data points, we still believe that’s we can reach, all the industry will reach a rate of adoption of about 75% actually we will increase that rate from 70% to 75%, Okay. If you would get today total full base of wire bonding machines and ball bonding machines we’re talking about wedge bonders, it is a range of 120,000 machines go through, 40% that’s based on our estimate around 40% that being converted and yes we have the early adopters namely the two big guys in Taiwan that drove a lot of this early adoption, when you look at what’s left we believe that there is potential for an additional 45,000 copper capable machine if we achieve these 75% production rate and over the next three years, so if you try to minimal – and said okay how many machines per year, these equates to as you know this is a cyclical business, this is where we have to break but we believe that a range of 6,000 to 9,000 machines a year fall for the next three year is achievable. That of course I mean there is all the I would say macroeconomic conditions that we do not control and as you know this year was not a great year for – there were lot of I would say uncertainty among our customers and reluctance to overspend as or just spend as we were getting closer to where the end of our fourth quarter and fiscal year because most of the capacity has to be in place and they were running in the mid 70s in terms of utilization which is be that what I call the contract level that trigger further investment which is more in the 80% and above range okay.
Tom Diffely - D.A. Davidson: Okay and then you talked to us in there how and those were big drivers for your business I know it like with the 28 nanometer build-out right now, most of that is going to flip chip at what point do you see some of this capacity at the lean edge move over to wire bonding?
Bruno Guilmart: So, right now I mean we have the solution we’ve been tried to use basically is capable of bonding as I mentioned during the remarks at 28 nanometer and below, of course there are challenges it is still the most [Indiscernible] solution and I think when customers can I would say had the option to choose wire bonding for their interconnect solution they will still go for that option, now just remember that for the time being 20 nanometer node it still a small portion of the total wafers that being chip and they are mostly for a node that used for high-end SPGS processors, graphic processors, application processors and so on and most of them are using Flip-chip because of the high ASP. And I would say less sensitivity to cross and also the performance requirements that they need, but again our development in advance packaging, we think we’ll be able to address interconnect requirements from those I would say the traditional wire bonding technology space as well as new technologies that are emerging because this is a market today still very small in terms of dollars but there is a lot of activity obviously because this is again if you look at the all the data, that’s available. This market is the only expected market to grow significantly over the next five years, whether you’ll get front-end, back-end of tests, they are all expected to be flat even some time down while the advance packing space is expected to be a $4.5 billion market also by 2017-2018, so of course it generates a lot of interest not only from people like us but also from the larger guys because this is going to be the only space, where you can grow but it’s going to have to be at the right price point. Because all these devices all going in 80% today in terms of volumes the semi-conductor demand is going into consumer mobile applications and they have to have at the right price points to be able to sell, and I think there is still some challenges to overcome to get to that level, and there is quite a number of solutions I would say different approach when it comes to intemperate in advance packaging but we have a road map it’s not just one product and we believe we have an excellent solution with the possibility to put us in leadership position again in that space.
Tom Diffely - D.A. Davidson: Okay, thanks. And then finally, Bruno you talked, but VLSI and Gardner talking about, how the wire bonder market should grow in 2014 over 2013? And I assume that is in line with what you’re hearing from your customers here wins being part of that?
Bruno Guilmart: I mean this is a too more, they didn’t say it should grow let’s say they are a bit more cautious, effective to more normalized level. And obviously that should be driven by more customers and here I would say, the two guys in Taiwan have been early adopters, but they are seeing some other launch OSATs. We are now adopting also fairly quickly. But we have also quite a number of last year to customers, we’re also going quite aggressively and same capital as well as also we start to see an evidence of a few homegrown companies, Chinese companies, not an AC or as field sector in China that also a niche for that. So that if you want more and more of the target for us to generate business and goals for the years to come. But we still expect obviously the big guys to continue to order as they see that the business is pointing in the right direction.
Tom Diffely - D.A. Davidson: Okay, thank you.
Bruno Guilmart: Thanks.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Dave Duley at Steelhead Securities. Please go ahead with your question.
David Duley - Steelhead Securities: Thank you. Could you just talk about on this first question, could you talk about what you think your market share will end up being for calendar 2013?
Bruno Guilmart: Again we do not disclose that number because we do not provide that number, number one. It’s a variable through VLSI and Gardner and the lag by about a quarter. If I remember correctly, I believe that Gardner was a little higher than get it fly. But I mean if you cannot look at both our market share and again they work on calendar quarters, the latest data that was available was for ideally the second quarter. No actually it was day actually published some initial data for the third calendar quarter and our market share was in the 70% range overall. So that’s interesting David, okay. That’s all wire bonders we think and reg bonders, manual bonders, it’s everything, okay. They don’t provide any more granularity than that.
David Duley - Steelhead Securities: Okay. And I’m assuming based on kind of what your guidance is for December that would be a pretty good target market share number for us to apply to you for the calendar 2013 roughly 70% share of all the markets.
Bruno Guilmart: I mean it is up to you to make that assumption that mean issued to get our track record, we specifically as we increased our market share or kept it and already have not lost any as I mentioned in my remarks I would say the dynamism that we’ve seen in the third quarter was more due to our customers deciding at the last minute to push out or pull in rather than what should believe would be any cost, any sort of competitive losses.
David Duley - Steelhead Securities: Okay now the guidance for December fiscal low your break-even level that you just highlighted, so it sounds like you’re going to lose money in December and I believe that’s the first time you lost money since like 2009 and I’m kind of wondering are you taking any actions to lower the break-even for going forward do you think we’re going to have quarters where we lose money on an annual basis and just trying to kind of figure out what do you think is going on here in the December quarter?
Bruno Guilmart: So I mean again we don’t guide on the [indiscernible] as Jonathan mentioned number of actions that’s we’re I would say we have already taken so that we can further lower our breakeven point but thank you for mentioning that we have not lost any money since 2009 which is pretty good track 0record that not many equipment manufactures can claim that they have, so even in the hypothetic step we would lose money one quarter is not the end of the world we have over $500 million of cash, we have plenty of resources, we are all very focused on the future of the company and there is no reason to panic at each stage. Okay. So we are pretty confident on the future of the company and confident on the execution of our roadmap and as I said delivery to maximize shareholder value for the future and Jonathan has few things.
Jonathan Chou: Just one of that I mentioned that last fiscal year we under spend our against our plan to $11 million this particular quarter we are continuing to kind of put the brakes on all base stage discretionary spending and we will continue to do that quarter-on-quarter that all we needed, but I just wanted to provide a little color and in terms of the cash position we ended the quarter, September quarter $525 million. We will continue to actually collect from the receivables as well. So we were at this point in time our forecast is still looking at continue to accumulate cash through about $550 million or in more slightly more of that that will give you a little bit of color in terms of the cash position, But we are pretty disciplined so far based on our cost containment program. But at this point yes it is that the lowest point of the cycle that we have experienced so far but we are managing that as well as we can.
David Duley - Steelhead Securities: Okay and you know you mentioned about how the third party folks are predicting I guess what you call the more normalized year in wire bonding in 2014 which I think the crowd here is thinking – there going to be growth in the overall market? Can there be growth in broader market next year? If they are two largest customers don’t change their spending patterns?
Bruno Guilmart: Well, I mean…
David Duley - Steelhead Securities: Where does growth come from maybe a better question? If it doesn’t sounds, it is going to come, if your ability to going forward, so I’m kind of wondering where does that come from?
Bruno Guilmart: Well, I mean our two largest customers made some I guess announcements very recently about their prediction of CapEx for I think for the second quarter, if I’m not wrong of next year. But these customers as you know as well react very – one way or the other. Now if you look in retrospect to FY2013 and you will be able to see more information when we filed the K about these. You will see that our mix of top customers has changed. And the fact that definitely we have a very higher penetration rate, our ability side on these customers and I think that they will continue to invest in copper. There is no reason for them not to do so, because they will have more demand has given us also an opportunity to redeploy resources, and be a lot more aggressive and diversify our customer base, which is why we have been very, very active in I would say areas, which were going to be bisected and also where customers are not as ready to make the transition. So if you ask me I mean difference to what your reference point in terms of growth, I will give you some numbers. We think that the potential for the next three years in terms of copper overall, will be between 6,000 to 9,000 per year to rise within three years or so at this 75% overall penetration rate at which point it would become many replacement business markets, which is where the importance of looking at other technologies, which we have been doing for quite some time. And as I mentioned already is around you, first I would say major milestone product in advanced packaging actually in the coming weeks to specific customer, which would give us a foothold in the fastest and highest growth potential market in the space.
David Duley - Steelhead Securities: Okay. Final question for me is talking about this new I think is just a thermal compression bonder for the advanced packaging space. Could you just remind us what the timing of when do you think that products will be ready for production? And then maybe comment about other competitors, I believe there is some specific system already and working on a new one, so maybe just talk about the competitive dynamics there?
Bruno Guilmart: Okay. So just to give an idea of timing, if everything goes according to plan and so far it has, we expect to have a commercial available products very early calendar 2015. Okay. As far as the competition is concerned there is competition but it’s I would say all over the map, okay there are solutions available today that give you the speed that do not give you the accuracy, which is necessary for advance packaging and therefore these type of competitors are trying to switch their existing machines to give more accuracy, which is still not enough. But customers have no other choice because there is nothing else available on the market. But on the flip side of that is when you push machine to the extreme, it becomes very unstable and requires constant maintenance and a constant process deviations on again we are not talking about $70,000 wire bonder here we are talking about $1 million pieces of equipment which maintains contracts and services and other things okay. So this is a different ball game than where we played ASMP as you know as always been focused on the lower-end piece of the market and that has not seen I would say any significant orders, any significant developments to basically focus in the area which we are focusing on which is accuracy that means accuracy of about to 1to 2 micron together with speed. Okay. On the other spectrum you have a few I would say small companies who are able to produce in extremely small volumes, when I say extremely small it’s extremely small okay, machines which are more for R&D purpose, where they do provide, they do have the accuracy capability that there is no way this machine can be industrialized, okay they are because essentially they are built by engineers and these companies do not have the resources to basically transform the machine from an R&D machine, into a machine that can be manufactured into which will be called for this type of business early last year. Several dozens of machines per year, at GenX we have demonstrated and proven all the years that we have the scale, the production expertise and to basically grew up a number cycles but that has taken we have 50 years of history and we had that capability as well and obviously the reason why we have to develop machine from scratch in 12 months – is because we basically put a lot of resources on this project and we’ve leveraged all the knowledge that would require along the years on speed and accuracy which has always been a strong point of GenX
David Duley - Steelhead Securities: All right thank you.
Operator: Thank you (Operator Instructions) our next question is from the line of David [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hi, yes good evening. I just want a quick recap I was late in getting on, what is you are break-even core lead run rate at this point can you repeat that.
Bruno Guilmart: Sure.
Unidentified Analyst: And I got a question on something else?
Jonathan Chou: Sure, David. Our normal break-even is that $95 million but because of the program, that we have put in place in the last month, I would say year and half or so. We are able cash that should lower that break-even point to below $95 million, and for this particular quarter, we did alluded to earlier that similar to a year ago its probably around $90 million give or take because of the program continue to be very vigilant to basically contain all the our costs and spending all discretionary spent are basically being reviewed right now and then continue to be managed.
Unidentified Analyst: Okay, they are beginning 3D into, as 3D kind of chips on both logic and NAND and I wonder is there anything that you are planning on to declare the packaging, that family of packaging and those kind of 3D structures in the future?
Jonathan Chou: I’m sorry you got caught at the beginning of your question could you repeat the beginning?
Unidentified Analyst: Yes, in both logic and NAND as they move towards 3D structure and I was wondering what implication that has for your assembly business?
Bruno Guilmart: So basically this is all our [indiscernible] in advanced packaging, 3D means a logic organically and this is kind of a buzzword for advanced packaging basically I think where the industry is going is go toward integrating a number of indefinite solution which would be PSG, which could be bumping may be with the combination of wire bonding and go towards more into system in packages, so the machines that we have developed and about mentioning we are shipping our first steps of machine in the communal age, the thermal compression fit chip bonder okay and that will address I would say some way to believe our I would say opportunities for interconnect especially in consumer mobility space. So that is not the end okay we have the roadmap, we are looking at right now there is a number of technologies, there is no standard that this is through this advanced packaging stage, it’s going to be the only market that’s going to grow to a significant level in the next five years from the couple of $100 million it is today. Okay, so yes we have a plan and a strategy and we want obviously to capture and to lead whoever we can obviously the prediction of forward sensing a billion dollar market in next five years, we won’t be able to capture everything because there is all the lithography task that we won’t get into because this is more of occupancy and we actually do, I would say a normal organic move but for if you look at the pure – definite space it is broadly, it would be broadly about one third of that what one third of the market. So we are very proactive again in leveraging all sorts of season also looking around for non-organic opportunities to come and broaden offering a solution in that space.
Unidentified Analyst: Thank you.
Operator: Thank you. Ladies and gentlemen we have come to end of our allotted time for today’s question-and-answer session. I will turn the floor back over to Joseph Elgindy for closing comments.